Operator: Good day. And welcome to the NCR Voyix Corporation Third Quarter Fiscal Year 2023 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Michael Nelson, Treasurer and Vice President of Investor Relations. Please go ahead.
Michael Nelson: Good afternoon. And thank you for joining our third quarter 2023 earnings call. Joining me on the call today are NCR Voyix CEO, David Wilkinson; and CFO, Brian Webb-Walsh. The focus of our discussion on today’s conference call will be on NCR Voyix segment results and key performance indicators for the third quarter 2023. We would appreciate it if you keep your questions focused on the NCR Voyix segment results during Q&A. Please note that our presentation and discussions will include forward-looking statements. These statements reflect our current expectations and beliefs, but they are subject to risks and uncertainties that could cause actual results to differ materially from those expectations. These risks and uncertainties are described in our earnings release and our periodic filings with the SEC, including our annual report. On today’s call, we will also be discussing certain non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterparts in the presentation materials, the press release dated November 9, 2023, and on the Investor Relations page of our website. A replay of this call will be available later today on our website, ncrvoyix.com. Slides two and three of our earnings presentation provide further details. With that, I would now like to turn the call over to David.
David Wilkinson: Thank you, Michael. And welcome everyone to our first earnings call as NCR Voyix. Please turn to slide six. This is an exciting time as we begin a new chapter in our journey as a publicly traded company. On October 16th, we successfully completed the separation of NCR Atleos. NCR Voyix common stock began trading on the New York Stock Exchange under the ticker symbol VYX at the market open on October 17th. As we move forward, we are well positioned with an exceptional leadership team and a supportive Board of Directors that come with extensive industry knowledge and transformational expertise. We are fully prepared to execute our vision as a focused, platform-led software and services company. First, I would like to thank to more than 16,000 NCR Voyix employees for their dedication and engagement, particularly over these last few months. Complex transactions like these can often be disruptive, but I am proud of how our employees contributed to the success of this transaction. Not only did they deliver strong third quarter results, but they also maintained a high level of service excellence for our customers. Before we dive into our discussion of the NCR Voyix third quarter results, I’d like to reiterate some of the key messages we outlined in our September Investor Day, particularly around service offerings, competitive advantages and growth trajectory. Please turn to slide seven. NCR Voyix is a platform-led SaaS and services company that serves three essential industries, Retail, Restaurants and Banks. For fiscal year 2023, we are on pace to generate nearly $4 billion in annual revenue with approximately half of that from recurring revenues. Software and services comprised about $2.5 billion of our revenue. We operate in a large and growing addressable market valued at a minimum of $25 billion and we maintain a market leadership position within the segments we serve. This year, we were once again named the number one global provider of point-of-sale software for Retail and Restaurants by RBR. Additionally, we are the number one independent provider of Digital Banking applications. I am proud of the solid profitable foundation for growth that NCR Voyix has built upon. Our deep industry expertise, market-leading technology and strong customer relationships are instrumental in sustaining our industry-leading position and healthy margins in this space. We serve customers of all sizes, ranging from small and medium-sized businesses to enterprise blue chip companies that represent some of the world’s leading consumer brands. We have longstanding relationships with our customers who recognize the value our critical applications provide for their businesses. All of our customers face the challenge of differentiating their customers and associates experiences. This requires modernization of their technology. We have made significant progress over the last few years, transitioning from our legacy hardware-only products to our market-leading cloud-based SaaS solutions. This requires shifting our product focus and go-to-market approach, moving from a product focused approach to becoming a business-critical solution provider to our customers. Our goal is to be the one-stop shop for the technology our customers need to run their businesses. And as a result of these efforts, we have seen our revenue model shift to higher recurring revenue. In the third quarter, our recurring revenues comprised more than half of our portfolio, representing 56% of total revenues and we are predicting this to grow to approximately 65% by 2027. These are high margin revenues that are predictable and foster long-term relationships with our customers. Please turn to slide eight. As we think about our near- and long-term opportunities, we have a well-defined strategy focused on three areas, grow, monetize and expand. Let me provide further details for each area. First, grow, we will capitalize on secular growth trends to expand alongside the market. This includes acquiring new customer logos and converting existing customers from hardware products and one-time software license sales to our platform-based solutions, thereby reinforcing our recurring revenue streams. Next, monetize, we will drive revenue and ARPU expansion by offering additional value-added services to our customer base and capturing a larger share of wallet. And finally, expand, we will expand margins and improve profitability through our high margin value-added services. In addition, we have also launched productivity initiatives to drive efficiencies across the organization. In a growing market that continues to evolve through this fast paced environment, we are incredibly excited about the opportunity and runway in front of us. With a strong leadership team that are experts in the industries we serve, we are enthusiastic as we embark on our journey to deliver and create value. Please turn to slide nine. We have a great portfolio of solutions that enable us to deliver platform-based end-to-end technology solutions perfectly tailored to meet our customer’s evolving business needs. For our Retail and Restaurant customers, we deliver modern cloud-based solutions to help simplify their technology infrastructure and effectively run their Restaurants and stores. We lead with our point-of-sale software, which is the heartbeat of the store to create a sticky application for customer loyalty and longevity. From there, we are able to deliver SaaS-based services via our platform, utilizing cloud-native services and open APIs. Our comprehensive technology suite supports transactional, inventory and customer data, as well as pricing and promotions. Similarly, our Digital Banking solutions allow financial institutions to deliver a digital-first differentiated experience. Banks are looking to transform branches to create a simple and convenient method for attracting and onboarding new customers. They want to deliver advanced advisory services and reinvent self-service banking through expanded transaction access and on-demand virtual systems. We are in a unique position to enable banks and credit unions to accelerate their strategies to create an entirely new customer experience and we are the only provider offering a unified customer experience for both digital and physical channels. There are a few notable third quarter examples that I’d like to highlight. Beginning with our Retail segment, designer brands implemented self-checkout and signed a contract to convert their point-of-sale and self-checkout software to subscription across over 2,000 lanes. This added platform capability to drive valuable store insights from our analytics package. Within our Restaurant segments, our team grew our platform sites by 388 and our payment sites by 517. In SMB, our payment attach rate for new customers remains at approximately 90% resulting in a 41% increase in payment sites. In the third quarter, Uncle Julio’s, a Tex-Mex chain with 44 sites focused on delivering made from scratch culinary experiences became an Aloha Essentials subscription with Payments customer. This is a perfect example of NCR Voyix helping an emerging chain accelerate its business growth. In enterprise, Papa Murphy’s who has been a customer of NCR Voyix for nearly 15 years, recommitted to our software with a new three-year Aloha Essentials subscription. Since connecting to our platform, they have been able to alleviate pain points and reduce cost while providing a seamless experience for their customers at more than 1,000 locations. These examples are indicative of the value our customers see in our platform. Turning to our Digital Banking segment. We continue to demonstrate positive momentum. In the third quarter, Digital Banking sales activity was strong with five new customer deals and 21 Digital Banking renewals. We also continued to experience strong cross-sell and upsell momentum, particularly with our channel services platform or CSP and Terafina, our digital account opening platform. We recently hosted the highly successful Accelerate 2023 Digital First Banking Conference in Nashville, Tennessee. With over 900 attendees, including customers, prospects, partners and industry analysts, the conference generated a powerful impression of NCR Voyix as an innovative, customer-focused and industry thought leader. This was our highest turnout ever and it was a fantastic opportunity to connect with customers and prospects which garnered great interest in high value orders. Financial institutions have increased their focus on deposit growth, which is translating into reevaluating their Digital Banking solutions and driving strong demand for NCR Voyix digital-first banking platform solutions. We are making excellent progress accelerating growth in Digital Banking by deepening our existing relationships, signing value-added services and creating a pipeline of new deals, demonstrating the value our partners see in our solutions. Before I turn the call over to Brian, I’d like to highlight some of our financial results for the combined NCR Voyix segments I just described. Recurring revenue grew 7% in the quarter, reflecting our strategy to shift our portfolio as we focus on our software-as-a-service model. This quarter, recurring revenue accounted for 56% of total segment revenue, representing an increase of more than 340 basis points from the prior year. We also gained operating leverage growing segment adjusted EBITDA by 2% on a constant currency basis and expanding segment adjusted EBITDA margin by 90 basis points compared to the prior year. Now I will turn it over to Brian, who will take you through the details of our segment results.
Brian Webb-Walsh: Thank you, David, and thank you everyone for joining our call today. It’s an exciting time at NCR Voyix. We have certainly accomplished a lot in a short period of time, which is a testament to the talent, dedication and experience of our employees. As Michael stated at the opening of our call, the focus of my discussion will be on the NCR Voyix segment results. Our growth rates presented are on a constant currency basis for better comparison purposes. Please turn to slide 11. In the third quarter, total segment constant currency revenue was flat compared to the prior year and on a year-to-date basis, total segment revenue grew 2% compared to the prior year. For Q3, this includes a 3-point headwind from shifting upfront revenue to recurring. These results reflect our strategy to connect our customers to our SaaS-based platform. Software and services growth offset the decline in hardware revenue, which resulted from the post-COVID bump in the prior year. For the third quarter, constant currency segment adjusted EBITDA increased 2% to $249 million and segment adjusted EBITDA margin expanded 90 basis points to 26.1%. Year-to-date, adjusted EBITDA for the combined segments increased 13% over the prior year and adjusted EBITDA margin expanded 240 basis points to 24.3%. These improvements to adjusted EBITDA were driven by the mix shift from hardware products to our SaaS-based solutions and services, along with cost initiatives that we implemented to improve efficiency. Please turn to slide 12. As I stated on the previous slide, segment constant currency revenue for the third quarter was flat compared to the prior year. However, recurring revenue increased 7% over the same period. As of the third quarter, recurring revenue for the combined segments represented 56% of total revenue, an improvement of 340 basis points over the prior year. These results reflect our strategy to shift customers to our SaaS-based platform and build our recurring revenue streams. As we have previously discussed, the key tenets of our strategy include retaining our base, upgrading existing customers to the platform and securing higher margin recurring revenue streams via subscription model. Going forward, we will continue to highlight recurring revenue as we believe this important metric illustrates the ongoing shift in our portfolio and we expect recurring revenues as a percent of total revenue to increase over time. Now let me provide details on each of our segment’s performance, beginning with Retail. Constant currency revenue for the Retail segment declined 2% from the prior year. Recurring revenue increased 3% and represented 47% of Retail revenue in the third quarter, reflecting the shift to our SaaS-based revenue streams. Our Retail portfolio remains healthy and the underlying fundamentals are growing nicely. In the quarter, we more than doubled the number of Retail platform sites compared to the prior year, which is now over 27,000. Annual recurring revenue or ARR, grew 4%, year-to-date, constant currency revenue for the segment increased 2%, recurring revenue increased 3% over the prior year and represented 46% of Retail revenue. Constant currency adjusted EBITDA was down 1% compared to the prior year, adjusted EBITDA margin was 23.2%, which represented an expansion of 90 basis points from the prior year. These results were driven by the positive mix shift, the higher margin software and services recurring revenue. Year-to-date adjusted EBITDA grew 21% and adjusted margin expanded 300 basis points over the prior year to 20.8%. The improvement in adjusted EBITDA for both the quarter and the year reflect a positive mix shift, cost discipline and normalization of the supply chain. Turning to slide 14. Constant currency revenue for the Restaurant segment was $238 million in the quarter, which was flat compared to the prior year. Recurring revenue grew 12% over the prior year and represented 59% of the total revenue in the quarter. Similar to the Retail segment, Restaurant revenue reflects the shift to our SaaS-based model, our Restaurant performance in the quarter is supported by growth across the underlying key performance indicators. Compared to the prior year, the number of payment sites grew 41% to more than 6,300 sites and the number of platform sites grew 7% to nearly 31,000. ARR grew 10% to $560 million. On a year-to-date basis, constant currency revenue grew 1% over the prior year. recurring revenue grew 10% and represented 59% of revenue. Q3 constant currency adjusted EBITDA grew 16% and adjusted EBITDA margin expanded 340 basis points over the prior year to 24.8%. Year-to-date adjusted EBITDA grew 24% and adjusted EBITDA margin improved 460 basis points over the prior year to 24.7%. Our adjusted EBITDA improvement for both the quarter and the year reflects the mix shift of the Restaurant portfolio, as well as disciplined cost management in the segment. Turning to slide 15. Digital Banking had another strong quarter, having exceeded the Rule of 40. Revenue for the Digital Banking segment grew 7% over the prior year to $147 million and recurring revenue grew 9%. The strong revenue growth was driven by client wins, strong renewal momentum and cross-sell success for both Terafina and the channel services platform. We expect growth to continue to accelerate as we exit the year. Compared to the prior year, the number of registered users grew 5% to $28 million and the number of active users grew 3% to more than $19 million. ARR grew 9% to $520 million. On a year-to-date basis, revenue grew 5% over the prior year and recurring revenue grew 6%. Third quarter adjusted EBITDA declined 3% and adjusted EBITDA margin declined 430 basis points to 39.5%. On a year-to-date basis, adjusted EBITDA declined 7% and adjusted EBITDA margin was down 480 basis points from the prior year to 37.8%. Both adjusted EBITDA for the quarter and year-to-date reflect our increased investments in sales and marketing and technology to accelerate growth for this segment. Before we open up the lines for questions, I’d like to highlight that in early Q4, we divested a non-strategic portion of the assets relating to our payments business, consisting primarily of merchant contracts, our front-end authorization platform and certain IP for cash proceeds of $82 million. Payments remains an important part of our strategy. The divested business generated roughly $40 million in annual revenue and approximately $25 million in annual adjusted EBITDA. Investing in this portion of our business changes the baseline for revenue and adjusted EBITDA we discussed at our Investor Day. However, our view on our go-forward modeling for revenue growth rates and adjusted EBITDA margins remains as previously described. We have a clear strategy for growth in a large growing market where we can take share, our sustainable competitive advantages include our solid financial foundation, a resilient business model, longstanding customer relationships, industry-leading cloud-based solutions and world-class customer service. This is why we win today and why we will continue to win long term. With that, I will turn the call over to the Operator to begin our question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions] We will take our first question from the line of Dan Perlin with RBC Capital Markets. Please go ahead. Your line is now open.
Dan Perlin: Thanks. Good evening and congratulations on the spin. I am sure it was a Herculean task. So David, I just wanted to ask you kind of a broad question initially, which is now post the spin, the conversations you are having with clients across kind of all three of these segments. Maybe you can just kind of bring us up to speed on what those are like, are you finding that during the spend period, there was a little bit of distraction and now the clients are much more focused, and as a result, they are kind of ready to get back and spend with you? Just any kind of anecdotal information would be great? Thanks.
David Wilkinson: Sure. Thanks for the question, Dan. Overall, the conversations largely haven’t changed. I will tell you the teams have not been distracted. It was a Herculean effort. So I appreciate you recognizing that, obviously, very complicated what turned into almost a 50-50 split of NCR into Atleos and Voyix. The customers are very open and receptive, they see the focus that we are driving now as a platform-led software and services company and the progress that we made and we just described in the earnings release, the site growth and the platform lane and the conversion that we are seeing in the upsell and cross-sell message is working with -- and resonating in the marketplace and the functionality that we are delivering for our clients is needed more now than ever as they look to consolidate suppliers and really try to find more of a one-stop shop. So the conversations have been positive all throughout the spin. The service performance by the team has been really amazing to be honest with you and our customers like the new focus and are very receptive.
Dan Perlin: Yeah. No. I mean, the results seem to suggest that. So thanks for that color. Just a quick follow-up, the payment asset you just divested, I think, you said generated $40 million of revenues. Can you just remind us like what you are keeping, why you decided to get rid of that business, how that impacts in any way the strategy to kind of, of course, and entice new clients to kind of sign up with the payment? And then with getting rid of some of that stuff, what are you replacing it with or using a third-party, anything around that would be great? Thank you.
David Wilkinson: Yeah. Payments is still a critical part of our go-forward strategy to expand ARPU through the platform. So the assets that were divested were more payment contracts associated with non-core -- non-point-of-sale attach payments not related to Retail, Restaurants or our Banking clients. So our strategy going forward is really to start payments on the point-of-sale software and complete payment through processing to really take paying off of our merchants and complete the payment end-to-end and it’s been the strategy all along. We don’t lose any core capabilities through this process. We will continue to have some capabilities on our front end. We have partnered in the past, we will continue to partner and have a mix of our own capabilities and partner capabilities as we deliver that end-to-end payment. It starts with the sticky point of sale as the -- that’s where we want to build off of that. So we are really trying to just extend that value and clip that payment coupon where we can. It doesn’t mean we have to have 100% penetration. So the strategy has not changed. This will get us a little more focused on executing the attach side of that within our core.
Dan Perlin: Got it. Okay. Thank you so much.
Operator: We will take our next question from the line of Matt Summerville with D.A. Davison. Please go ahead. Your line is now open.
Matt Summerville: Thanks. A couple of questions. David, can you talk a little bit about what you are seeing just more broadly speaking from a demand standpoint within the Retail business, specifically comparing and contrasting between SCO and EPOS. And with respect to the former being SCO, I am curious as to whether you guys are seeing more competition from third-party integrators in the space? And then I have a follow-up. Thank you.
David Wilkinson: Okay. The -- our SCO demand remains strong. We are seeing market share growth. We have been -- the last RBR report comes out, we were the 20 years in a row, the market share leader, still double that of our nearest competitor. And we believe and our numbers will tell us we are going to continue to take share as we expand this year. So the market is growing, that RBR report will tell us that we are seeing mid-single-digit growth in self-checkout and we see that across the strong demand -- that strong demand signal and what we are doing. We are seeing the expansion come in a couple of areas. One, it’s expanding beyond grocery into convenience and fuel and specialty, you will see that in one of the customer wins that we highlighted with designer brands, the old DSW shoe -- that’s the shoe company. But they -- that’s a good example of how we are seeing self-checkout grow beyond grocery. All these customers are also trying to own and define their front-end experience as it relates to self-checkout and that becomes a critical part of that. So the different form factors that we are seeing. And then the labor challenges are real and only worsening in terms of the need to have more labor hours in the store to deliver those services and then try to redistribute labor with creating flexible front ends. On the consumer side of what’s driving that demand, our third-party research and what we read tells us that shoppers prefer to have a choice and they like self-checkout. And so while you see a few of the negative articles run stray, that’s not the general sentiment of the market and that’s evidenced by continued high adoption in stores where we deploy it. Even when we see new customers deploying it. We are seeing them get north of 60% transactions through self-checkout, very early in those journeys and that’s creating very strong business cases for our clients, guest satisfaction is high and we are seeing our existing customers drive an increased density. So the self-checkout demand is strong as we deliver the platform capabilities and start to do things with computer vision, artificial intelligence, start to get more of a kind of a sensory fusion with RFID included in what we are doing with self-checkout. We also see some new use cases in some of our formats as we move forward. EPOS, as you described, I mean, the core POS hardware business is declining. We are seeing that across the market that -- it’s declined this year, that’s what you will see in the numbers for us when we look at the non-recurring revenue. We saw strong recurring revenue growth and where you see the non-recurring revenue, that’s really all point-of-sale hardware that’s driving that decline. Some of it’s a lumpy phenomenon coming out of COVID when people were buying kind of stockpiling based on supply chain challenges and other of that’s just kind of a softening of demand and really an increase in self-checkout demand as well.
Matt Summerville: And then the other question I had, David, was on third-party competition from system more of a third-party integrator approach trying to get into the self-checkout market if you are seeing that in your business?
David Wilkinson: The good news of our platform approach is that we can embrace -- we have this open ecosystem that we can embrace, whether it’s the do-it-yourself trend that we see with some retailers or whether it’s third-party integrators. We partner with a lot of the big integrators. We are not seeing them come in as really direct competition. The competitive landscape hasn’t changed that much. There are a few start-ups doing some things around specific technology, but we are embracing that. The other benefit of our model is, as we move to the platform the soft, our real value is in the intellectual property around the software and how consumers interact with those devices in the store. So that value doesn’t go anywhere regardless of who -- what other parties are involved. So we -- this is a rising tide that will raise all boats for us in the sense that we will connect to the platform will monetize our model, we can monetize those assets as we deploy with partners or even kind of DIY folks as well. So we feel like we are in a pretty good place.
Matt Summerville: And then just as a follow-up on Digital Banking. Can you maybe talk about where you are at year-to-date from a win rate standpoint in that business versus maybe where it was at two years ago and maybe compare and contrast where you are at with your renewals and the success rates you are experiencing now versus in the not too distant past there? Thanks.
David Wilkinson: Yeah. We are seeing mid-90s in terms of renewal rates across that business, and as we have stated in this release and the previous four quarters, over that time horizon, we won 36 net new customers, we are gaining share in Digital Banking, we are growing registered and active users and you are starting to see that really convert into the growth that we are seeing, the 9% year-over-year ARR growth that you see is the evidence that would support that growth. There is some timing of some customers that we onboarded. So those customers don’t immediately show up. So a lot of the big wins take a little bit longer to onboard. So as those 36 net new customers start to come onboard, that’s what’s gives us confidence in the growth rates in that business.
Matt Summerville: Perfect. Thanks, David.
Operator: We will take our next question from the line of Erik Woodring with Morgan Stanley. Please go ahead. Your line is now open.
Erik Woodring: Hey, guys. Thank you very much for taking my question, and again, congrats on the spend. David, you alluded to some of the hardware declines that is kind of helping to offset the recurring revenue growth. I am just curious, outside of that shift that you are making to the platform lanes and more SaaS-based revenue. Are there any other headwinds to that hardware business that you kind of need to correct or shore up, so to speak? And maybe my question is, outside of the conversion part of your business, kind of how do you change the trajectory of that part of your business that is in -- that is currently in decline? And then I have a follow-up. Thanks.
David Wilkinson: Yeah. Part of the other headwind is, as we have described in previous calls is the average selling price, the ASP, as we get into some of these new formats, even though we are driving unit volume and things like self-checkout, the form factor is a little smaller, convenience is more of a kiosk than a full appliance like you would see in a grocery store that takes cash and other things. So there’s some ASP compression that’s happening in that market. That’s why we see revenue growing a little slower than our unit volume and the overall market share growth. For us, it’s also about -- we are going to shift a bit of a focus to go acquire some net new customers across the Board and we think that will help shore up some of the hardware declines that we see across the existing base as people are sweating assets a little longer. And we are actually creating some of our own headwinds with our edge technology that allows us to uniquely deploy software on hardware and really extend the life of hardware in stores. It’s a real value to our customers in the Retail and Restaurant segment, and so we will find some growth in net new customers as well to overcome some of the overall secular trends in hardware.
Erik Woodring: Okay. Very clear. Thank you. And then we have heard a lot of positive commentary tonight and so it is really great to see you kind of carrying the momentum after the spin. Just curious if you were to take a bit of like a self-reflecting view of the business and the management team execution. What are any areas where you need to prioritize either improving the product or improving the go-to-market approach or even just improving the overall execution? Where are those holes that you need to patch that can almost supercharge the performance that you are seeing from the rest of your business? And that’s it from me. Thanks.
David Wilkinson: Thanks for recognizing the team for the great performance. They have really stepped up, as you described and delivered an amazing set of results. The areas I would tell you that, I want to supercharge growth in Digital Banking. I mean you are starting to see that growth. So you see the EBITDA margin rate in Digital Banking down a little bit. That’s because we are trying to pour some gas on that fire and get more sales momentum and get in front of every financial institution, because we have done a really good job of building an amazing product there, and we are winning, as I described with the 36 new customers and so I would like to see us move a little faster in terms of gaining new customers. And then when I answered your question on the hardware side, I also want to see us -- our investment thesis and everything we have outlined is really about retaining the base, connecting them to the platform, which we have seen tremendous progress against and then adding new products to grow ARPU, I want us to focus too on adding new customers. I want to -- we want to continue to take share in this space. So I would tell you where we want to focus is on -- it’s not a wholesale shift and it’s not a bunch of product gaps, it’s really get faster connections to the platform, let’s grow some sites across both Retail, Restaurants and our Digital Banking.
Erik Woodring: Very clear. Thank you very much, guys. Good luck.
Operator: Thanks. [Operator Instructions] We will take our next question from the line of Ian Zaffino with Oppenheimer. Please go ahead. Your line is now open.
Ian Zaffino: Hi. Great. Thank you very much. Just kind of want to follow up on the last question. I am just looking at sort of Retail, I guess, platform sites are up under 118%. So that’s great numbers. But just getting on to the legacy side, can you maybe give us an idea of the magnitude of declines you are seeing there or maybe -- are they accelerating, are they moderating? Is there anything on the horizon that would suggest that maybe it does moderate or is this just sort of something that we had to deal with basically until this 2027 when things really start accelerating like you kind of outlined in your Investor Day? Thanks.
David Wilkinson: Hey, Ian. The overall sites for us aren’t -- they are relatively flat in the enterprise space for us. So there’s no real decline there. When we talked about legacy, the hardware business has declined, but the overall all overall site count is relatively flat and that’s the area I said we want a supercharge, SMB sites are growing, Digital Banking sites are growing. So the conversion of the platform -- we will continue to see this kind of a trajectory as we described in our Investor Day. So some of the assumptions that we put out in terms of platform site conversion rates against our installed base. So we still believe in all those assumptions. So the -- we described the headwinds -- Brian did in the Investor Day of 2% headwinds over the next -- over 2023 and 2024, starting to shift to tailwinds beyond that as we make that shift to recurring. We still feel that way and have confirmed the assumptions that we made from that original Investor Day presentation in that space.
Ian Zaffino: Okay. Great. And then also, I guess, congratulations on Uncle Julio’s and Papa Murphy’s. For you to kind of look at the slide, I think, you put off the case study of the Buffalo Wild Wings, where are you in that or is this on the conversion to platform, are we in the impactful results segment? Where are we and how is it tracking, I guess, versus kind of the magnitude of increases that you laid out in that case study? Thanks.
David Wilkinson: Yeah. I mean we outlined the -- in the Investor Day where that Buffalo Wild Wings case study was, we outlined the progress that we have made. We said we were about 20% converted on our Restaurant sites installed base and about 10% on Retail. So we are tracking to those numbers. And we are seeing those ARPU metrics play out. So when we -- as we just described in the recent wins Uncle Julio’s being one, adding payments adds a tremendous amount of additional revenue and we are seeing that show up in ARR growth in the Restaurant segment. So ARR was up 10% year-over-year. That’s on the back of both conversion to the platform and adding payment sites. So we are seeing the numbers play out as we have described in the Investor Day deck. We have no reason to change that.
Ian Zaffino: Okay. So just maybe a quick follow-up on that one. So I guess when you say conversion to SaaS, you are kind of in that 39 -- not that this client, in particular, would be 3,900, but you are in that 3,900 ARPU box, right? So have you started to see kind of that 9,000 ARPU box yet or just want to know when that will be…
David Wilkinson: It’s client, we -- it’s client-specific. So depending on how long you are -- when we gave the pilot example in the Investor Day deck and the SMB example and we saw the SMB example we gave got close to 19,000 when we include payments into that site. So it’s somewhat dependent on the soak time, if you will, connected to the platform and how long we have to upsell and cross-sell, and some of it is the pain point. The way we approach these is we are solving pain points for these customers and the real value. So we are not forcing them to the platform. We are going in and solving a real-world problem and they adopt the one or two services to solve that problem and then we get in there with additional products. So it’s timing of the cohorts. So we are in that range. We estimate we kind of closed the year, we said, on average, about 3,600 in ARPU across the base. So we are right in that range.
Ian Zaffino: Great. Thank you very much.
Operator: There are no further questions at this time. Mr. Wilkinson, I will turn the conference back to you for any additional or closing remarks.
David Wilkinson: Perfect. Thank you, Operator. Thanks again for joining the call today. And as I said in the opening, the employees of NCR now NCR Voyix and NCR Atleos really did an amazing job to get the spend done and deliver a great quarter. So I appreciate everybody recognizing that. We have a tremendous opportunity in each of our businesses and we are truly excited about what’s in front of us in the future. And we are operating from a position of strength and we will continue to build on our strong foundation. We are the market leader and we have a large base of blue chip customers with whom we have deep and lasting relationships and we have the critical end-to-end solutions to continue serving these customers to help them run their stores, Restaurants and branches more effectively, and we are winning in the market and taking share. Across all three segments we serve, our formula for growth is the same. We are going to capitalize on the secular growth trends to win net new customers and gain market share. We are going to connect and onboard existing customers to our platform to drive deeper relationships and capture greater wallet share. When we do all this, it will improve EBITDA margin through the shift in our business and we will have continued focus on efficiencies and productivity initiatives that will expand margins. And as I mentioned in my opening remarks, our customer’s success is our success and their growth fuels our growth. So I want to thank all of our customers as well. We strive to deliver consistent world-class experiences to our customers and remain a market leader. We know this is the right formula to drive significant value creation. We are fully committed to delivering results to compound shareholder return. I’d like to thank all the employees of NCR Voyix and NCR Atleos once more and thank you all for joining.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.